Operator: Good afternoon, and welcome to the Electromed Second Quarter 2025 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mike Cavanaugh, Investor Relations. Please go ahead.
Mike Cavanaugh: Good afternoon, and thank you for joining the Electromed earnings call. Earlier today, Electromed, Incorporated released financial results for the first fiscal quarter of 2025, the quarter-ended December 31, 2024. The press release is currently available on the company's website at www.smartvest.com. Before we get started, I would like to remind everyone that some of the statements that management will make on this call are considered forward-looking statements, including statements about the company's future operating and financial results and plans. Such statements are subject to risks and uncertainties that could cause actual performance or achievements to be materially different from those projected. Any such statements represent management's expectations as of today's date. You should not place any undue reliance on those forward-looking statements and the company does not undertake any obligation to update or revise forward-looking statements, whether as a result of new information, future events or otherwise. Please refer to the company's SEC filings for further guidance on this matter. Joining me on the call today are Jim Cunniff, Electromed's President and Chief Executive Officer; and Brad Nagel, Chief Financial Officer. As on previous calls, Jim will provide color around operational highlights from the quarter, and Brad will then review the financials, and we will close with a question-and-answer session. With that, I will now turn the call over to Jim Cunniff, President, Chief Executive Officer of Electromed.
James Cunniff: Thanks, Mike and welcome everyone to Electromed's second quarter earnings call. It's a pleasure to begin a new calendar year by reporting on another excellent quarter for Electromed. Our entire team did a remarkable job executing on all facets of our business, most visibly in our sales, fulfillment and manufacturing groups. These highly cohesive teams collaborated in delivering yet another quarter of record revenues, which came in at $16.3 million. This was also the ninth consecutive quarter that Electromed's revenue and net income grew on a year-over-year basis. Operating income was a record $2.5 million in the quarter and net income came in at $2 million or $0.22 per fully diluted share. I would note that the strong record of operational performance has been rewarded by the market. Our stock has appreciated significantly over the past 6 and 12-month periods to the benefit of our shareholders. Many of you know a key goal of ours has been to enhance shareholder value and I think it's safe to say we have succeeded in that regard. However, as an organization, we are focused on continued improvement to ensure our sustained operational momentum and the financial success that follows. With that, let's jump into some of the details of our quarter. An important aspect of our performance is to diversify our customer base beyond our core Homecare segment. Homecare remains our most important segment by far, but we acknowledge that there are other market segments we can fruitfully tap into that are synergistic revenue streams for us. Of note, the Hospital segment grew in the quarter by 17%. Also our durable medical equipment or DME distributor relationships have resulted in year-over-year growth of 188% in the quarter, albeit from a relatively small base, reflecting strong demand from our carefully curated network of DME partners. Along with the singular focus on airway clearance and marketing what we believe is the most advanced user friendly HFCWO technology on the market, a key differentiator in Electromed's business is our direct patient model. We take great pride in handling the fulfillment process beginning with the doctor's prescription, continuing through the payer reimbursement process and culminating in delivery to a patient's home. In previous quarters, we have commented on the investments we have made in personnel, technology and process improvements in this area of our business. For example, we improved our working capital by reducing inventory 35% compared to Q2 of fiscal 2024, while also continuing to consistently meet our patients therapy needs. We continue to make investments in the sales team that drives the adoption of SmartVest Clearway into the market. We ended the quarter with 54 direct sales reps, which puts us on track to achieve our internal goal of 57 sales reps by the end of Q3 of fiscal 2025. Along with the additional headcount, we also initiated an investment in a new CRM system during the quarter, which will further enhance our commercial team's productivity, improve market insights and enable better internal collaboration. There are also some other less obvious things we are doing around the edges to improve our processes and the customer experience. For example, we consolidated our various phone numbers, so customers have one phone number to call, which then can route them to the department they need to reach. We also moved the printing of our marketing materials from stock printing to digital on demand printing, which will enable us to make immediate changes to our marketing materials, so they remain relevant while also reducing the cost and the size of our inventory of marketing collateral. During the last quarter, I announced that we had kicked off the Triple Down on Bronchiectasis campaign focused on raising awareness of bronchiectasis, well as the critical and often overlooked role that SmartVest Clearway plays in a patient's treatment protocol. The campaign focuses on the needs for patients with bronchiectasis to reduce their inflammation, treat their infection and use SmartVest Clearway technology to clear their airways of mucus to help break the vicious vortex by removing the fuel for future infections and inflammation. The campaign includes the launch of a landing page, digital advertisements and sales tools. We've engaged with over 10,000 clinicians through this campaign since launch. We believe these efforts will result in greater awareness and more prescriptions over time. Overall, I'm very happy with our performance across all facets of our business. Our team is executing at a high-level, which generated strong positive financial results and those results are being rewarded by the market. We will continue to follow the blueprint that has worked so well, specifically to improve our execution and further penetrate new sources of revenue, while investing in people, processes and infrastructure to provide the tools and equipment our team needs to achieve our goals. With that, I will now turn the call over to Brad for more detailed review of our financials. Brad?
Bradley Nagel: Thank you, Jim. All amounts I'm about to review are for the 3 months ended December 31, 2024, our Q2 FY 2025 and compared to the 3 months ended December 31, 2023 or Q2 FY 2024. Net revenues grew 18.7% to $16.3 million, up from $13.7 million. Revenue in our direct homecare business increased year-over-year by 15.2% to $14.6 million from $12.7 million. The growth in revenue was due to incremental referrals and approvals driven by an increase in direct sales representatives and efficiencies within our reimbursement department as well as higher net revenues per approval. The annualized home care revenue per weighted average direct sales representative in the quarter was $1,077,000 slightly higher than Electromed's annual target range of $900,000 to $1 million. Q2 hospital revenue increased year-over-year by 16.8% to $723,000. This revenue growth was primarily due to increased capital and disposable demand. Homecare distributor revenue for the quarter was $807,000, an increase of 188% year-over-year. Homecare distributor sales are affected by the timing of distributor purchases that can cause significant fluctuations in reported revenue on a quarterly basis. Other revenue increased year-over-year by 8.2% to $132,000. The growth in other revenue was primarily due to the timing of international distributor purchases and timing of purchases by customers that do not fall within the other markets described above, which can cause fluctuations in reported revenue on a quarterly basis. Gross profit increased to $12.6 million or 77.7% of net revenues from $10.5 million or 77.0% of net revenues in Q2 last year. The increase in gross profit dollars is primarily a result of higher revenue volumes. The increase in gross margin percentage was primarily due to the higher average net revenue per device. Selling, general and administrative or SG&A expenses were $9.8 million, representing an increase of $1.7 million or 20.3% year-over-year. The increase in the current year period was primarily due to compensation costs, including higher share-based compensation associated with the vesting of performance based equity awards, as well as salaries and incentive compensation related to the higher average number of sales, sales support, marketing and reimbursement personnel to process higher patient referrals. Operating income was a record $2.5 million compared to $2.3 million in Q2 2024. The growth in operating income was driven primarily by increased revenue and gross profit. When putting all these Q2 results together, we are thrilled to have executed a record earnings quarter with pre-tax income of $2.7 million, record net income of $2.0 million and record quarterly EPS for our shareholders of $0.22 per diluted share. As of December 31, 2024, Electromed had $16.2 million in cash, $22.8 million in accounts receivable and no debt, achieving a working capital of $35.5 million and total shareholders' equity of $43.6 million. The cash balance reflects an increase of $0.2 million for the 6 months ended December 31,2024, compared to an increase in cash of 3.1 million in the same period in the prior year. The increase in cash in FY '25 was driven by $5.5 million of positive operating cash flow offset by share repurchases of approximately $4.5 million and $0.8 million of taxes paid from net share settlement of vested stock. While we are excited about our 19% revenue growth and our improvement in earnings per share over Q2 last year, our focus and expectation for the full year remains on delivering double-digit top line growth and expanded operating leverage. With that, we'd like to move to the Q&A portion of the call. Operator, please open the call to questions.
Operator: [Operator Instructions] Our first question is from Brooks O'Neil with Lake Street Capital Markets. Please go ahead.
Brooks O’Neil: Thank you very much. Good afternoon guys. Congratulations on the terrific results.
James Cunniff: Thanks, Brooks. Appreciate it.
Brooks O’Neil: Yes. So I'm curious, obviously, maybe you're something close to a year into new marketing of the SmartVest that you improved last year. Have you seen any kind of competitive response, any activity from anybody else to improve their products to try to keep up with what you guys are doing?
James Cunniff: Yes, actually Brooks, great question. We've actually had the SmartVest out now for 2 years.
Brooks O’Neil: 2 years?
James Cunniff: We've gotten great traction obviously in the market as demonstrated by our results. Recently at the end of calendar year 2024, [indiscernible] did upgrade their best technology, but quite candidly, as you can see with our results that we just posted for Q4, it really hasn't impacted our business. So they've done a nice refresh of their product portfolio, but we still feel like we've got a best-in-class portfolio. We're the only product in the market with a single hose design. We feel like our garments are best-in-class and comfortable, which is really important for patient compliance. And we are the only manufacturer in the marketplace with a lifetime warranty in our product, which we think again for these patients who have a chronic irreversible condition is not only a benefit to the patient, but it's also a benefit to the payer where they don't have to continue to reinvest in this technology.
Brooks O’Neil: Yes, that's great. I appreciate that color. So, also I guess last year we read some things about the development of some drugs to treat some of the symptoms of bronchiectasis and I haven't seen anything recently and I'm just curious if there's any developments that you're aware of in that regard?
James Cunniff: Well, there's as we've discussed even in the prepared remarks relative to our triple down on bronchiectasis campaign, really for these patients, you're trying to treat their underlying infection, which is done by antibiotics. The drug that you're referencing Brooks, that's coming out is really to treat the inflammation. But these patients when they present, these are bronchiectasis patients. And so this is a chronic irreversible condition. And so these patients may benefit from drugs that are being developed and looking to be marketed this calendar year. What we do understand is that the one drug in question, which is targeted for bronchiectasis patients specifically, as of I think a week ago, they had a new drug approval priority review by the FDA for August of this year. And so we are not -- we don't know where they sit relative to commercializing that drug, but we do anticipate that it's going to be later on this year. And what we are hearing from our KOLs in the market is that the drug will be complementary to airway clearance. It won't be a replacement for it because what these patients still need to do is they need to remove the mucus that's in their airways, which is really the fuel for future infections, inflammation and we want to try to get them out of that vicious vortex. And part of it though is they are going to need airway clearance to clear their lungs and improve their quality of life.
Brooks O’Neil: Right. That's great. And then my last question, obviously, you did a little bit above the top end of your sort of guidance range for revenue per sales rep. Are you -- do you think you could stay there? Do you think you could get better on a per rep basis? What are you thinking about those numbers?
James Cunniff: Well, we are really happy about it. I can't commit to whether or not we're going to maintain at that level or improve it. But one of the good news stories, Brooks, is I think in the last probably year or so, we've been doing a much better job of performance managing non performers within our sales team, hiring better caliber sales reps who have hit the ground running and been more productive sooner rather than later. As I've mentioned on previous calls, we've done some changes to our onboarding of those reps and in fact did kind of a 2.0 enhancement just this past January. And so I feel really good about the impact that our new sales reps are having as well as our tenured reps. And I think the good news too is we are starting to see a disbursement of where our revenue is coming from our reps. It's not concentrated with just our top reps where most of the volume is coming. We're starting to see much better disbursement across our entire sales team.
Brooks O’Neil: Great. Well, you and Brad are doing a great job and the rest of the team. We are really looking forward to getting you out in front of some investors in March and we appreciate that very much.
James Cunniff: Thanks, Brooks. Appreciate it.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Jim Cunniff for any closing remarks.
James Cunniff: Yes. Well, thank you all for joining today's call and thank you for your continued support of Electromed. I'm very pleased with our Q2 results. We will continue to strive for even better operating performance and shareholder value in the second half of fiscal 2025 and beyond. And as always, we are happy to speak with investors. And if you're interested in a follow-up call, please contact our Investor Relations partners at ICR Healthcare. Thanks again for your time today. Operator, please close the call.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.